Operator: Good afternoon. Thank you for attending today's Alpha and Omega Semiconductor Fiscal Q2 2023 Earnings Call. My name is [Tamiya] [ph], and I will be your moderator for today. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to your host, Yujia Zhai with Investor Relations. Please proceed.
Yujia Zhai: Good afternoon, everyone, and welcome to Alpha and Omega Semiconductor's conference call to discuss fiscal 2023 second quarter financial results. I am Yujia Zhai, Investor Relations representative for AOS. With me today are Dr. Mike Chang, our CEO; Stephen Chang, our President; and Yifan Liang, our CFO. This call is being recorded and broadcast live over the web. A replay will be available for seven days following the call via the link in the Investor Relations section of our website. Our call will proceed as follows today. Mike will begin with strategic highlights. Then, Stephen will provide business updates and a detailed segment report. After that, Yifan will review the financial results and provide guidance for the March quarter. Finally, we will have the Q&A session. The earnings release was distributed over wire today, February 6, 2023, after the market close. The release is also posted on the company's website. Our earnings release and this presentation include non-GAAP financial measures. We use non-GAAP measures because we believe they provide useful information about our operating performance that should be considered by investors in conjunction with the GAAP measures. A reconciliation of these non-GAAP measures to comparable GAAP measures is included in the earnings release.  We remind you that during this conference call, we will make certain forward-looking statements, including discussions of the business outlook and financial projections. These forward-looking statements are based on management's current expectations and involve risks and uncertainties that could cause our actual results to differ materially from such expectations.  For a detailed description of these risks and uncertainties, please refer to our recent and subsequent filings with the SEC. We assume no obligations to update the information provided in today's call. Now, I will turn the call over to our CEO, Dr. Mike Chang. Mike?
Mike Chang: Thank you, Yujia. Happy New Year everyone and welcome to today's call. It is good to speak with all of you again. Before I go over our results, I’d like to begin today by saying that I am proud to be speaking to you for the last time as the Chief Executive Officer of AOS. 22 years ago, I founded this company with a vision and a dream. While this vision never ends, today, we are one of the most successful and well-recognized fast-growing power semiconductor companies in the world. I am proud of all that we have accomplished together. It is with great confidence and pleasure that I now turn the Chief Executive position to Stephen, who has already demonstrated his leadership skills and business acumen since his appointment as AOS’ President two years ago, leading AOS to achieve record revenues and profitability.  I want to thank each and every one of the AOS team for your dedication and hard work. It has been an honor to work alongside you and to see this company grow and thrive. Thank you all for the memories and the opportunities. We are in the midst of an incredible journey, and I am grateful for every moment that has led us to this point today. I will continue to be deeply involved in AOS as Executive Chairman and plan on focusing more on strategic matters such as key relationships with critical partners and customers of AOS and technology development essential to ensure sustained and long-term growth. Now, moving on to the results. Our fiscal Q2 results were below our expectations. Revenue was $188.8 million. Non-GAAP gross margin was 29.5%, and non-GAAP EPS was $0.67. Last quarter, we indicated that we expected an industry-wide inventory correction to impact us over the coming quarters, particularly in PCs and smartphones. However, the magnitude of this inventory correction for certain customers was larger than we expected. Inventory levels across many of the consumer markets that we serve remain high and our customers are working to bring supply chain inventory levels back into balance, as quickly as possible. As a result, we forecast March quarter revenue to be approximately $130 million, plus or minus $5 million. We expect to recover a good portion of the sequential decline in the June quarter and even more so in the second half of the year, especially with the re-opening of China. As we stated last quarter, our business is not immune to macro challenges and industry cycles. We have been through many of these cycles over the past 22 years and do not make decisions based on just a couple of quarters of data. Every cycle since the beginning of our industry has eventually ended and given way to a new leg of growth, and this one is no exception. We are confident that given our strong fundamentals, we are in the best position we have ever been to continue our growth momentum once this downturn is past us. Looking back on the year, calendar 2022 was one of the most successful years in our history, despite many challenges. We set records across almost every metric. Revenue was a record $794 million, up 9% year-over-year, and non-GAAP earnings per share was a record $4.16, up 5% year-over-year. Further, we closed the year with record Tier 1 customers and the market share across most product segments. In our two largest product segments, PC and Smartphones, we grew significantly faster than the market. This was due to our success in gaining market share, increasing BOM content, and deliberately improving our product mix towards more premium tier products. Further, gaming was an outstanding success for us in 2022. We won leading share with the Number 1 gaming console manufacturer and this business for us more than doubled year-over-year and is now a major revenue contributor for AOS and is expected to continue to grow even in a weakening consumer demand environment. These are just a few examples out of many achievements that demonstrate our fundamental strength, and the competitiveness of our products, and the [traction] [ph] that we have gained. Stephen will provide more details during his section of the call, but our business has never been stronger, which is why I am confident that our outlook is largely due to macro-economic factors rather than anything specific to fundamentals. As channel inventories are consumed and the broader economy recovers, we expect to see a rebound in revenue. In closing, demand for more and better power management is being driven by what we call “the electrification of everything.” We believe this tailwind is here to stay and we are in the best position we have ever been to continue to win in this market. We exited 2022 with a strong balance sheet, which enables us to navigate the current economic environment while keeping our eyes on achieving our $1billion annual revenue target in the next couple of years. Thank you. I will now turn the call over to our future CEO, Stephen for an update on our business and a detailed segment report. Stephen?
Stephen Chang: Thank you, Mike, and good afternoon, everyone. Overall, I'm very pleased with the performance we achieved this past calendar year, and we delivered it while navigating a very challenging business environment with disruptions from China’s zero COVID restrictions, global supply chain constraints, and significant inflationary headwinds. Despite all of this, we achieved record revenues across all of our segments. Our calendar year 2022 Computing segment revenue increased 5.9% year-over-year to $332.6 million. Consumer grew 13.4% to $173.6 million. Communications increased 23.9% to $125.7 million, and our Power Supply and Industrial increased 7.8% to $155.5 million. These results were made possible by our record Tier 1 customer partnerships and market share, as well as a much more diversified total solutions product portfolio that’s serving a broader set of end markets, across consumer, commercial, and industrial use cases. While our near-term outlook and general market sentiment indicate a significantly weaker demand environment and inventory correction for 2023, we believe there are a couple factors that make us uniquely positioned to benefit on the other side:  One, a good portion of the slowdown that we are experiencing is driven by our Tier 1 customers where we have leading share. However, our sockets and BOM content in their devices remain unchanged and our relationship with these customers are the best it has ever been.  These customers are the leading device makers in their categories in the world and demand for their devices over time has only grown. This is why we are confident that this slowdown we are experiencing will be behind us as demand for these premium products are certain to come back once inventories are more normalized. Two, to strategically navigate the current environment, our focus will be on stabilizing spending where we can, while continuing R&D investments to drive market leadership and have leading products once the market returns. In addition, we are accelerating our development in new growth areas such as data center, infrastructure, industrial, and automotive applications. For example, we recently expanded our Silicon Carbide portfolio to include 650V and 750V Silicon Carbide MOSFETs for on-board car charging, traction inverters, and infrastructure applications. Our industrial, renewable energy, and automotive customers will now have a broader portfolio available to select the right solution that supports their wide range of product power levels at an even higher performance and efficiency level. Let me now cover our segment results and provide some guidance by segment for the next quarter. Starting with Computing. December quarter revenue was down 27.3% year-over-year and 28.4% sequentially and represented 33.8% of total revenue. Looking back on the year for our PC business more closely, our PC shipments grew in the first three quarters of the year, but demand dropped off rapidly in December quarter as our customers aggressively reduced inventories. Even with this significant drop, our full-year PC revenue was up 3%, compared to a 20% decline in PC units according to Digitimes. This was due to our success in gaining share, increasing BOM content, and deliberately improving our product mix towards more premium tier products.  Based on our conversations with customers and latest demand forecasts, we expect some of our customers’ inventories will be depleted in the March quarter, and they anticipate resuming orders for the June quarter, which will help to recover some of the significant March quarter decline ahead of peak season. In December quarter, there were some notable areas of strength in our Computing segment, particularly data centers as this area showed significant growth year-over-year with the adoption of our high performance low and medium voltage MOSFETs by leading Cloud providers. In addition, graphics cards, and tablets continued to be strong. Looking ahead, in the March quarter, we expect total Computing segment revenue to be down about 30% sequentially as we actively work with our customers to right-size their inventory. Turning to the Consumer segment, December quarter revenue once again set records increasing 21.3% year-over-year and 4.2% sequentially and represented 25% of total revenue. These results were in-line with our expectations driven by record gaming volumes, which grew 222% year-over-year and 19.5% sequentially. Looking ahead, we anticipate our Consumer segment to decrease mid-single-digits sequentially driven by a seasonal slowdown in Gaming shipments after a very strong December quarter. Now, let’s discuss the Communications segment, which also set record quarterly revenue as it increased 38% year-over-year and 12.4% sequentially and represented 18.7% of total revenue. These results were significantly higher than our expectations due to stronger than anticipated shipments to the Number 1 U.S. smartphone customer, as well as to China. For the full-year 2022, Smartphone revenue grew 24% year-over-year, despite an estimated 11.6% decline in global smartphone shipments as estimated by Digitimes. Our growth was driven by share gains in the premium tier smartphone models. This is due to our ability to serve the high-end market with our high-performance battery protection products, as well as strong partnerships with our customers. In the March quarter, we expect this segment to face a steep correction of about 45% sequential decline as we help our customers normalize their inventory levels after two quarters of record shipments that didn’t fully sell-through to end consumers as a result of lower discretionary spending due to inflationary headwinds and China zero-COVID restrictions. Internally, we expect our smartphone business to start to recover in the June quarter in preparation for the September quarter peak season. China’s reopening is also a welcome development that should improve consumption. Now, let’s talk about our last segment, Power Supply and Industrial, which accounted for 21.8% of total revenue. This segment also set records with revenue up 9.3% year-over-year and up slightly sequentially. The increase was due to share gains in quick chargers at the leading U.S. phone maker and growth in PC power supplies and gaming adapters. For the March quarter, we anticipate this segment to decline around 30% sequentially, due to the inventory correction. In closing, while we are experiencing a temporary slowdown, inventory corrections and market cycles are ultimately healthy for our industry. Calendar 2022 was a record-breaking year for us, with record revenues, earnings, and leading market share with a record number of Tier 1 customers. We enter 2023 with many strengths: a growing product offering, cutting-edge R&D and promising technology roadmaps, diverse manufacturing capabilities, and strong relationships with strategic customers. As the newly appointed CEO, I am focused on leading AOS forward and am confident in our ability to continue growing at a faster rate than the overall market. We will maintain and execute our successful strategies while also investing in new growth areas such as data centers, automotive, infrastructure, and industrial. With that, I will now turn the call over to Yifan for a discussion of our fiscal second quarter financial results and our outlook for the next quarter.
Yifan Liang: Thank you, Stephen. Good afternoon everyone and thank you for joining us. Revenue for the quarter was $188.8 million, down 9.5% sequentially and down 2.4% year-over-year. In terms of product mix, DMOS revenue was $137.6 million, down 4.8% sequentially and up 2.3% over last year. Power IC revenue was $50 million, down 19.8% from the prior quarter and down 10.1% from a year ago. Assembly service revenue was $1.2 million, as compared to $1.6 million last quarter and $3.3 million for the same quarter last year. Non-GAAP gross margin was 29.5%, compared to 35.4% in the prior quarter and 36.7% a year ago. The quarter-over-quarter decrease in non-GAAP gross margin was mainly driven by less favorable product mix and an increase in inventory reserve, reflecting the ongoing industrywide inventory correction. Non-GAAP operating expenses were $32.8 million, compared to $36.6 million for the prior quarter and $33.5 million last year. The quarter-over-quarter decrease was primarily due to lower variable compensation accruals this quarter. As such, non-GAAP quarterly EPS was $0.67 per share, compared to $1.20 last quarter and a year ago. Moving on to cash flow. GAAP operating cash flow was $0.3 million, which included $12.2 million repayments of customer deposits. By comparison, operating cash flow in the prior quarter was $36.7 million, which included $3.3 million net repayments of customer deposits.  Operating cash flow a year ago was $50.8 million, which included $11.2 million net customer deposits. We expect to refund around $30 million customer deposits in calendar year 2023. Consolidated EBITDAS was $31.8 million, compared to $45.5 million last quarter and $46.7 million last year. Let me turn to our balance sheet. We completed the December quarter with a cash balance of $287.8 million, compared to $316.1 million at the end of last quarter. The cash balance a year ago was $269.3 million. Net trade receivables were reduced to $53.2 million, compared to $55.8 million at the end of the prior quarter. Days Sales Outstanding for both the December quarter and last quarter were 30 days. Net inventory was $163.8 million at quarter-end, slightly down sequentially from $164.9 million last quarter and up from $129.1 million last year. Average days in inventory were 109 days, compared to 106 days in the prior quarter. Finally, Property, Plant and Equipment was $351 million, up from $339.5 million last quarter. The fixed assets balance a year ago was $196.7 million. CapEx for the quarter was $28 million. We expect CapEx to drop to $20 million to $25 million level in the March quarter. Our Oregon fab expansion is expected to start to ramp in March 2023. Now, I would like to discuss March quarter guidance. We expect revenue to be approximately $130 million, plus or minus $5 million. Our guidance factors in the ongoing industry-wide inventory correction and the seasonality for the March quarter. GAAP gross margin to be 22.5%, plus or minus 1%. We anticipate non-GAAP gross margin to be 24.5%, plus or minus 1%. The quarter-over-quarter decrease mainly reflects the impact of the expected product mix changes and lower factory production absorption due to the current inventory correction. GAAP operating expenses to be in the range of $45.5 million, plus or minus $1 million.  Non-GAAP operating expenses are expected to be in the range of $35.5 million, plus or minus $1 million. Interest expense to be approximately $1.2 million, and income tax expense to be in the range of $1.3 million to $1.5 million. With that, we will now open the call for questions. Operator, please start the Q&A session.
Operator: Absolutely. [Operator Instructions] Our first question comes from David Williams with Benchmark. You may proceed.
David Williams: Hey, good evening and thanks for taking the question. I guess, first off, Stephen, congrats on the transition, it’s great to hear and looking forward to hearing more from you there. Secondly, I guess, maybe if you could talk about the confidence that you have in the recovery for the revenues in June and I know you gave some color there and talked about a few things, but it sounds like you're expecting a much larger, kind of rebound in June. And I guess I'm just curious as to what's giving you that type of confidence?
Stephen Chang: Sure. For us, we do think that there's a good chance that March quarter is a bottom and that we are seeing some signs of recovery for June. This is why we give guidance for that, but largely, it will also depend on the overall macro environment, but in general, in a normal seasonal year, we are tracking towards peak shipments in the September quarter for some of our end markets. We're still from a market share position still positioned for that. Even if you see the portion that’s seeing the more severe inventory correction, but what we find is that different customers have different levels of inventory and some of them are already starting to place some replenishment orders for the June quarter. So, this kind of indicates some stabilization even for the PC market. That's kind of the bigger impact. So, of course, we are closely working with our end customers not only in PC, but in other markets to right size their inventory levels.
David Williams: Okay. That's very helpful. Thank you for that. And then how much of the revenue guidance do you think and thinking about that rebound in June is related to maybe a recovery in China versus just more broad based demand recovery?
Stephen Chang: That can help certainly. The opening of China will not only affect the consumer spending within China, but also impacts a lot of our global customers who also have a good portion of business being purchased by China consumers. So that can help too. And so, yes.
David Williams: Okay. All right, fantastic. And then Yifan one for you maybe, on the gross margin side. Just kind of curious if you could give us an idea of the volume versus mix impact there. And then where do you think this kind of stabilizes? I felt that margins would be maintained a little bit higher even in a more negative environment, but maybe just discuss some of the puts and takes there and what are the biggest headwinds that you think you're facing today and how those maybe recovered through the year?
Yifan Liang: Sure. In the December quarter, I mean, margin got impacted primarily by the inventory correction. And I mean this bigger portion of it was because of the product mix. And to a smaller portion was because of inventory reserve increase, which is also tied to the inventory correction in the March quarter, especially.  For the March quarter, yes, we are seeing some product mix and factory utilization because of the top line decline. So, we are also scaling back our production. So, I mean, both product mix and [utilization] [ph] basically contributed to the March quarter's margin changes.
David Williams: Thanks so much. I certainly appreciate it and best of luck on the quarter.
Stephen Chang : Thank you.
Yifan Liang : Thank you.
Operator: Thank you. The next question comes from Craig Ellis with B. Riley Securities. You may proceed.
Craig Ellis: Yes. Thanks for taking the question. And just to start, Mike Chang, congratulations on all you accomplished while CEO, you built a great company. And Stephen will look forward to staying in touch with you on these calls and other events. Stephen, I wanted to go back to an earlier question and just maybe frame it a different way. If you looked at your [different end markets] [ph] and as you look out to the fiscal fourth quarter, calendar second quarter and if you were to rank them by confidence in which could rebound most materially from potential lows here in the March quarter, how would that ranking look, and any color around that would be helpful?
Stephen Chang: Sure. I would also point to computing as the greatest potential to grow in that quarter. Again, we're not giving specific guidance, but this is a – that is a segment that we saw the most inventory correction and the level that that's at now is not – is definitely in the inventory correction territory. And we believe that as I mentioned that there are some signs of that already starting to recover for that fiscal fourth quarter. So, I think that segment itself has no more room to recover, but the other segments also have opportunity to grow too. We're still working towards the peak seasons for smartphones. And the fourth fiscal quarter will be usually the ramping time to prepare for that. And then the power supply also tends to follow after – follow along with the competing segment. A good portion of the business are the [PD adapters] [ph], and power supplies for computing. We also noted in our earnings release that we believe that gaming within consumer is seasonally low. So, there's expected to be recovery starting from the fiscal fourth quarter as well.
Craig Ellis: Okay. So that was compute, [comps] [ph] ahead of product cycles, the PC part of industrial power and then other gaming part of consumer, did I get that right, Stephen?
Stephen Chang: Yes.
Craig Ellis: Yes. Okay, great. All right. So, moving on to a related question. Yifan, if we see a recovery in revenues maybe back towards, but not quite to levels that we saw in the fiscal second quarter, can gross margins move commensurately or will there be, kind of a delay just given the way things could flow through inventory? How quickly can a change in revenues translate into a change in gross margin?
Yifan Liang: You mean then for the fiscal fourth quarter, right?
Craig Ellis: Yes, for fiscal fourth quarter. Thank you.
Yifan Liang : All right. Yes, I mean, we would expect some recovery in the gross margin line once we have top line recoveries. So, I mean – but the relationship right now is hard to say. I would say, I mean, depending on the product mix and the utilization also, which tied to the inventory, both our own inventory and channel inventory. So, by-and-large, I would expect that you had some recovery for the gross margin line.
Craig Ellis: Got it. And are you – how is pricing holding up out there? I imagine relatively good at your Tier 1s because those are longer-term agreements, but are you seeing competitors now that foundry capacity availability is loosening up? Are you seeing some of your competitors get more aggressive with pricing? How should we think about the ASP dynamic over the course of this calendar year versus what you saw last year?
Yifan Liang: Yes. I mean in the last couple of years, yes, it was pricing wise and it was favorable pricing environment. I mean, now we are in inventory correction mode. So, we would expect some ASP erosions [in the impact] [ph]. I would expect again for the calendar year 2023 [price erosion] [ph] that probably didn't back to normal or even worse than historical trend.
Craig Ellis: Okay. And is normal a few percentage points or how should we think about normal levels since it's been 2 or 3 years since we have that?
Yifan Liang: Yes. I mean, before – back to the years, before 2 to 3 years. And then I mean traditionally we'll be in the high-single-digit per year basis. But only for those same products and then I mean if you sell your same products year-over-year, yes, and we would expect some erosion there, price erosion there. The name of the game is and we rolled out new products and then we reset ASP and that's meant by providing more efficiency or more functionality than I mean, that's the R&D new products out for.
Craig Ellis: Absolutely, yes. I think you have a history of getting about 100 new products out a year, which does exactly that resets the price point, so totally get that dynamic. Lastly, at least in my model, operating expense came in quite favorable versus what I expected. Is that mostly tactical belt tightening or are you doing anything structurally to reduce OpEx even as you push ahead with various product programs, including the things you talked about in automotive?
Yifan Liang: OpEx for the December quarter, it was largely because of the variable compensation of [COGS] [ph], because certain guidance performance for the December quarter was not up there, so then we reduced an overall calendar year 2022 variable comp.
Craig Ellis: Got it. Thanks so much Yifan. Thanks, Stephen.
Stephen Chang: Alright.
Yifan Liang: Thank you.
Operator: Thank you. The next question comes from Jeremy Kwan with Stifel. Your line is open.
Jeremy Kwan: Yes, good afternoon, and let me also add my congratulations to both Stephen and Mike in your newer changing roles. I guess the first question I have is in terms of the linearity in the quarter, as well as the performance in March quarter, you know it sounds like orders took kind of a pretty meaningful pause and kind of especially in the last month or two. Can you give us a sense of or just more color into how things shaped out as you move throughout the end of last year and into this year? And also, any update on it in terms of the churns business that you’ve done? What it was in prior quarters and where it might be the next few quarters? Thank you.
Stephen Chang: Sure. Let me address the first part, and maybe Yifan can address the second part, but essentially we did see a further slowdown in the macro picture since the last time we talked on the earnings release. And this is coming mainly from PC and smartphones and both, kind of consumer type of products and tied to the overall inflation and reduce, kind of personal spending. And this adjustment was seen throughout the supply chain [indiscernible] through the OEM, ODMs. There was a more significant adjustment to the changing demand. So, the last few years, we were quite strong in demand in this overall industry. So, it will take some time for some of our customers to unwind from that and to right size their inventories. So, that's mainly affecting those particular areas in the end markets. I want to reiterate again that our products and our position and our customers are still strong. We're happy to have them forge stronger relationships with Tier 1 customers. And this is very important especially during this time to protect our share and, as well as very importantly getting us positioned for when the market rebounds or for their next versions of products. So, we have to deal with the overall industry slowdown, but our positions and our customers are still better than good work in previous years.
Yifan Liang: Yes, Jeremy, regarding your question on current business. Yes, I mean, this current business right now is pretty dynamic and then I mean this is depending on backlog and market situation. Yes. And then we are pretty involved and then the dynamic and so we catch whatever than we can, but on the other hand and yet we do have production cycles there. And then I mean that's – if we happen to have inventory on hand, and then yes, we can serve, but the [indiscernible] the thing is that we cannot grab all the current business as we want.
Jeremy Kwan: Thank you. That's very helpful. Maybe you find a bit more clarification. Maybe another way to ask the [churns] [ph] question would be to, you know ask how much of the backlog, how much of the outlook is currently in backlog and also, you know as we talked, as you mentioned a little bit about seeing a potential rebound in the June quarter, what your lead times are like? Are customers facing orders much further beyond that? And finally, on this topic, can you give us any clarity into how cancellations have changed or looked relative to the past couple of quarters? Thank you.
Yifan Liang: Sure. And then, I mean the backlog, yes, in the December quarter, we did experience more backlog adjustment than a normal quarter and some push out [in cancellation] [ph] replacement. And then I mean a lot of the product mix changes and shuffling there. Overall backlog level decreased, reflecting the industry-wide inventory correction. Yes. And then I mean that's the thing. So, I mean, overall, yes, for the March quarter, our backlog already has been reflected in our guidance. For the June quarter, as Stephen just commented on, we saw some sign of recovery and some customers started placing some orders for the June quarter already. So, we'll see. 
Jeremy Kwan: Got it. Okay. And maybe if I could turn to, you know, touch back on the utilization. Can you give us where the utilization currently is now and where was last quarter? And also, what kind of flexibility you have in terms of switching capacity between your internal capacity and your foundry or and your JD partnership? Are there, you know, contracts or obligations that you may have to [indiscernible] on the supply side there or can you bring more [internalist] [ph] if needed? Thank you.
Stephen Chang : Sure. Nationwide is, we have our own fab in Oregon. And I mean our priority is to utilize our internal fab first, yes. And that's where we developed most of our new products. So, naturally, I mean, right now the Oregon fab is still running at a pretty high level of utilization. Even for the portion, we expect to come online for the expansion in the month of March, we expect to start a ramp up Oregon fab. So, for the expansion portion, actually, yes, we actually – we have demand to portfolio. So, I mean, that's – right now, it's kind of a pretty dynamic in that. I mean, the product mix changing quite a bit. For the back-end, again, we do have some lower utilization. I mean, we also use joint venture and third-party foundries and subcontractors to – or do as much as we can load our own factory first, but sometimes it's pretty hard to switch between a quarter or two. So, this is kind of a pretty dynamic right now.
Jeremy Kwan: Got it. Thank you. That's helpful. And I guess just turning to the balance sheet, how much can you give us – how much customer deposits you have remaining? I think from what I've understood, you have about 98 million in the September quarter. You repaid about 3 million of that in the prior quarter and 12 million of that this past December quarter. So, do I have that right, that there's about 80 million left in the customer deposits?
Stephen Chang: Yes, yes, it is.
Jeremy Kwan: Okay. And I guess how do you expect those deposits to be worked through? Was the repayment this time around? Is it as you fulfill some of the capacity arrangements or are they saying they don't need as much capacity? And kind of taking some of the deposit back? Is that is – can you just give us clarity in terms of the dynamic there?
Stephen Chang: Yeah, those – typically those deposit earmarked with certain level of purchase. And then as I mentioned in the script, we expect about a $30 million in repayment in calendar year 2023. 
Jeremy Kwan: Got it. Okay. And on the internal inventories, do you have a – I know that [indiscernible] was a little bit up this quarter. Next quarter, inventory dollars are flat. These are the maturity to kind of get to the [1, maybe low 150s] [ph]. Do you have, kind of a target that you want to keep inventories at and where you're comfortable holding? Thanks.
Stephen Chang: Well, right now [indiscernible] adjust according to the market situation. And I mean we expect a June quarter rebound to some level and then the peak season normally in second half of the year yet and we do need to balance out [Technical Difficulty] capacity can support the second half of the year. So, then we'll see that. I mean, largely it's probably maintain in that level, current level.
Jeremy Kwan: Largely maintain a dollar amount in the current level? Is that…
Stephen Chang: Yes, dollar.
Jeremy Kwan: Okay, great. That's all I had. Thank you.
Stephen Chang: Thank you.
Yifan Liang: Thanks.
Operator: Thank you. There are no questions at this time. [Operator Instructions]
Mike Chang: This is Mike Chang. I do want to thank each one of you for your support and be with me through all these years thick and thin. I really appreciate that. [Recession gap] [ph] is not a good thing. Unfortunately, this [indiscernible]. And it comes and goes, and I'm sure it will end soon. The important thing which is, I believe or we believe is technology. That's long-term. In the last three years, AOS take advantage of the available cash, we gradually [keep-up] [ph] our R&D in both capability, as well as dynamic with a lot of good things or exciting things there and waiting to really shine. So, we are very, very confident for tomorrow. And thank you [indiscernible] for your support and wish you all the best. God bless.
Operator: This concludes the conference call. Thank you for your participation. You may now disconnect your lines.